Mark Learmonth: [Call Starts Abruptly] By way of introduction, I'm Mark Learmonth, Caledonia's Chief Executive, prior to that as the CFO as you may well know. I'd also like to take some time to introduce Victor Gapare, who's an Executive Director, joined the group in January following the acquisition of Bilboes. I'd just like to give Victor an opportunity to introduce himself. Please, Victor.
Victor Gapare: Thank you, Mark. My name is Victor Gapare. I worked for Anglo American Corporation Zimbabwe for 16 years. And my last job in Anglo was Director for the Gold and Pyrites Mining Division. I left Anglo American at the beginning of 2003, after I had completed the management buyout of the gold and pyrites businesses, which I was managing at that time. From 1 January, 2003, I became the Chief Executive officer of Bilboes. So I have been Chief Executive of Bilboes until we completed the transaction with Caledonia in January 2023. Between 2009 and 2011, I was also President of the Chamber of Mines of Zimbabwe. Basically the Chamber of Mines is the organization which represents organized mining in Zimbabwe, and it includes suppliers and service providers to the mining industry as well as professionals in the mining industry. During the time – over the last few years from – really from 2010, I led the Bilboes team, which raised the first $6 million from Baker Steel Resources Trust, which is listed on the London Stock Exchange. So we used that money to carry out exploration – to begin exploration at the Bilboes properties. In 2018, we raised the [Fed] by $10 million, which helped us progress the feasibility study. Also in 2018, we also raised another $7 million debt from the Industrial Development Corporation of South Africa, which enabled us to restart our operations after we had closed them during the hyperinflation period. So basically that's little bit about me. Thank you, Mark.
Mark Learmonth: Thank you, Victor. And then also, Chester Goodburn, who replaced me as CFO last year, and we've got Dana Roets, who is the Chief Operating Officer, been with us for about 10 years now; Maurice Mason, Vice President of Corporate Development; Adam Chester, our General Counsel; and Camilla Horsfall, who is Vice President, Group Communications. Okay, so let's get into the meat of the presentation. Just in terms of results highlights, production – all disclosed previously increasing from about 58,000 ounces in 2020 to just over 80,000 ounces in 2022, which is good. We've not been held much by the gold price, so all the increase in revenue is largely driven by higher production. Gross profit up from $46 million to $54 million to nearly $62 million, but you will notice there has been a slight compression in the gross margin from about 46% in 2020 to 43% in 2022, and that reflects the general increase in our operating costs offset by economies of scale. And then I'd also draw your attention to the dividend, which has increased from $0.335 in 2020 to last year, we did $0.56, but again, more information about that later. Okay. All of this will come into more detail later. Just a few words on safety, if I may. Very unfortunately we had the fatality in 2022 and a further fatality in 2023. Dana may want to talk about this more, but it is fair to say the fatalities resulted from non-adherence to prescribed safety procedures, and our response to that has to be to redouble our attempts to enforce adherence to safety procedures. And clearly, fatality is a very distressing event, but we just have to work harder, just try and make sure that people adopt the safe working practices that we set out. Other than that, our general safety performance compares quite well with other similar deep-level mines in the gold sector. Dana, would you like to add anything further to what I've said?
Dana Roets: Well, Mark, I think it's just important to also know that we were in a place and increasing our labor numbers, which complicated things. And I think a good indication of – we actually improved our safety record from 2021 is the fact that there are disability in injury frequency rate, which takes the extra number of employees into account, year-on-year improved from 0.26 to 0.23.
Mark Learmonth: Yes. But I got to say it does compare. If you compare us to other gold producers, I've got to say not many of them produce information on this granularity, we actually perform quite well. So should we just move on and talk about the operations? Dana, can I ask you to just talk to the next couple of slides?
Dana Roets: Yes, Mark. Similar to what I said about safety. We started to build up process in – basically 2015 and you can see that on [indiscernible], and we completed that buildup last year. So it was a steady buildup over the last seven, eight years. And hopefully this year we can get into steady state. We [indiscernible] production because we are in build up. We achieved our targets of 80,000. We told the market the higher end of our forecast and now it's time to settle down and optimize and try to improve economies of scale.
Mark Learmonth: Yes. It is fair to say if you look carefully at the quarterly production numbers in the lower graph, you would notice there is in general quarter one is lower than quarter two. And so production tends to progress as the year progresses and we'll probably see the same pattern again this year with lower production in Q1 and then peaking in production in Q4. Okay. So look, that's all of operations. All I'd say is that the grades remain consistent and about 3.36 grams a ton. The recoveries remain consistent at 93.9 gram – 93.9%. The real driver of growth has been tons milled. And as Dana said, our objective now is to stabilize production at between 75,000 and 80,000 ounces a year. And then having done that, see what we can do to what we call optimize it. So look at ways where we can do what we do, but just do it more efficiently and therefore control our costs. Okay. Should we move on? The solar projects was something that we started out in 2020 that was clearly delayed by COVID, by delays in the manufacturer of the panels in China and then the shipping of the panels. It was finally commissioned in November last year. All the way through that period, I'm afraid the grid deteriorated. And so particularly in the course of 2022, we found ourselves spending more money on capital equipment to protect our own equipment from voltage spikes and also we have spent more money on diesel than maintaining generators. That is worst in October and so immediately before we commissioned the solar plant, we were using about 720,000 liters of diesel a month, diesel cost of about $1.50 a liter that's considerable. But by January this year, as a result of the commissioning of the solar plant and also it's going to be said as a result of improvements in the grid and grid supply. In January, we only used, I think about 18,000 liters of diesels, a very substantial reduction in our diesel consumption. Now I am comparing peak trough. But even so if you take the average consumption of the course of 2020 with a reasonable expectation of an average production of average diesel usage going forwards, we will expect to see a reduction in diesel consumption. And also the benefit of solar compared to just an average cost of electricity supply that works out at about $35 per ounces produced, so approximately 5% of the online cost. It's fair to say we funded the whole solar project, which cost about $14 million using equity, which we raised in 2020 in New York and then the excess we funded ourselves from cash. It's inappropriate really for a business of that nature, a solar business, not to be ungeared. And so we are now completing an exercise to raise a bond in Zimbabwe by the vehicle that owns solar and we are looking to get about $7 million to $7.5 million by the end of March. I think, Chester, correct me if I am wrong, I think we've got about 4.5 in at the moment and we're probably expecting another couple million dollars towards the end of sometime this week. I don't know, Chester is on the line, but is that correct?
Chester Goodburn: That's right, Mark. [Indiscernible] that we expect should be in by the end of this week.
Mark Learmonth: Okay. There's nothing, we don't really specifically discuss politics, but it is interesting to compare the way that the Zimbabwean authorities have responded to the same electricity crisis that also exists in South Africa. And so whereas the South African government appears they done very little to help facilitate or encourage large industrial users to put in place their own IPPs and by contrast, the Zimbabwean authorities were very proactive in terms of encouraging and facilitating and fast tracking the approval process to things like our solar project and facilitating the movement of the equipment across the border. And then another development, which is current, is through an initiative called the Intensive Energy User Group, IEUG, which has been established under the auspices of the President himself. We now hopefully move into a situation where Blanket can enter into an agreement to import power directly from Zambia and Mozambique, which may have certain cost advantages, but will further reduce our reliance on the grid. Again, that's a development that you would be unconscionable in or unexpected in South Africa. So it's just interesting to compare in practical terms, the way that the Zimbabwean authorities have tried to find – help people to find a solution to the same problem that exists in South Africa. Okay. Should we move on and talk about some other bits? I think we're going to talk about Bilboes now. So could I ask Victor to run us through a few slides on Bilboes, please?
Victor Gapare: Thank you, Mark. As I already said, Bilboes house is the gold mining assets, which is belong to Anglo American Corporation in Zimbabwe. Anglo mined oxides and treated the ore through the heap leach technology, pretty much recovering. In fact, between the time they opened the mines to the time we finished mining the oxides, they mined about – we've produced about nine tons of gold from the Bilboes assets. Anglo had also started exploration for the sulfides, which is what you find below the oxides, and then drilled about 17,000 meters and established in [indiscernible] just under 500,000 ounces. They stopped the exploration when they were getting out of the gold mining business all over the world, and that's the time when we bought the assets in 2003. Between 2010 and 2018, we drilled the well by 80,000 meters, and established the resource of just under or just over 3 million ounces. We also contracted DRA to actually carry out a definitive feasibility study on that resource. At the end of the feasibility study, please can you move to the next slide. At the end of the feasibility study, which was completed, DRA expect the mine with a life of mine of 10 years, with a planned average production rate of 2.4 million tons per year and the planned average mill feed of our 2.3 grams per ton. That kind of grid for an open pitch deposit is actually quite a good grid. We are expecting a life of mine gold production of just under 1.7 million ounces, and an average life of mine production of 167,000 ounces per year. Actually, a peak will produce 200,000 ounces per year. The peak funding requirement for this project is US$250 million. This is at end of 2021 prices, the project economics basically at a gold price of $1,650 per ounce. The project has a post tax NPV of $323 million, a post tax IRR of 33.4%, and then all-in-sustaining cost of $826 per ounce. So if you just use the current gold prices, maybe if you upgraded that to about 1,800, you can naturally see the impact on the bottom line basically. In the meantime, when we were doing the exploration for the feasibility for the sulfides, we actually also established some remnant oxides, which we have started mining. That picture on the right there is actually the current mining, which is taking place at Bilboes. We expect to produce about 12,000 to 17,000 ounces per year, from the current site operations. And that project is a life of about two to three years. So at that rate, we should be able to harvest over the three-year period, maybe somewhere between US$20 million and US$30 million as free cash from this operation.
Mark Learmonth: Okay. Talk about Bilboes – I'm sorry, Motapa.
Victor Gapare: Thank you, Mark. Again, Motapa, is a property which is contiguous to the Bilboes assets. Actually, in the 1990s, Anglo entered into a joint venture with the original owners of Motapa and actually mined the oxides from the Motapa claims. They also started drilling for sulfides because the idea was that with the sulfides, which were expected at Bilboes in the sulfides at Motapa, we should be able to establish a mine with reasonable scale by Zimbabwe standards. However, Anglo also – anywhere on this when they were getting out of gold at the end of the 90s. So the current Bilboes team actually went on the Motapa project because some of the mining, which was taking place there, the oxides, some of them were being transported to the Bilboes heap leach operations.  The current plan is actually to put in some money, start exploration, hopefully get some oxides because we do know where the targets, we have some targets for oxides. Maybe if we establish the oxides, complement the oxides which are being mined at Bilboes and actually hopefully improve the cash flow from that operation. But long-term, the idea is to actually carry out exploration for the sulfides because we believe if you combine the sulfides at Motapa and the sulfides at Bilboes, you can actually get a mine scale with economies of scale in this area.
Mark Learmonth: Okay. Sorry to interject. So just before we move on to the financials, by itself, Bilboes is a very attractive asset. It's relatively large, it's relatively high grade and we acquired it at a very, very competitive price. The work we are doing on our own feasibility study isn't just to revalidate the feasibility study done by Victor and his team to reflect the current environment. We're also looking to see whether it's possible to do that on a phased – to do that project on a phased basis with the view to minimizing equity dilution. So it's always going to be a balancing act between achieving growth and minimizing dilution. So we're solving for the best net present value per share, not the potentially highest NPV of the project. So I think that's quite important. But Bilboes together with Motapa really is potentially a very, very attractive asset. And the nice thing is that we've got the same geological team at Bilboes who successfully identified the resource base at Bilboes, and they can transfer their skills and experience and using pretty much the same infrastructure that they've already got at Bilboes to go and start looking across the road at Motapa. And that's one of the reasons why we wanted to accelerate that process by having the modest equity raise that we completed last week. But I'll come onto that a bit later. So frankly, Bilboes and Motapa together is now standing asset package. I think – should we just move on and talk about the financials? Chester, are you able to just give us a couple minutes on the new slide, please?
Chester Goodburn: Thank you, Mark. 2022 financial results pretty much reflects the success story of 80,000 ounce target we set ourselves at Blanket Mine, and it also sets us up for our future growth phase of our newly acquired mining assets as Victor earlier explained. When looking at the revenues, I'm pleased to see that increase in ounces at Blanket Mine and later on, we'll also see in the cash flow statement, increase in cash generation because of the production costs. This growth phases remained in check. You'll see that this has occurred during a period where our peers had significant increase in inflationary costs. But let's talk about production a bit later. Our G&A has increased for positive reasons, we've increased costs and expenditures on our advisory services costs to acquire Motapa and Bilboes. And we've also increased our salary wages – salaries and wages bill of our senior staff members to set ourselves up for this new future growth phase at Caledonia. Our profit after tax includes non-cash items such as $7 million of deferred tax expenditures. In our tax expenses, we've also got foreign exchange losses that are unrealized, also non-cash. And this might fuel the [indiscernible] question on why the EPS is different to the adjusted EPS of $2.2 per share. Also, including that is in payment expenses of $8 million that we've incurred on areas above 750 meters that are mined out and currently not a Caledonia life of mine plan. Could move over to production costs, please. Our production costs are looking good. Costs decreased on our per ounce basis due to the increase in our ounces, it went down from 742 to 735. And we've increased our wages and salaries in absolute terms, that's due to our bonus paid in Zimbabwe for online staff due to the higher production ounces that we've achieved. Consumables that increased due to inflationary pressures and some maintenance and I'd also like to highlight electricity expenses that's come down due to the solar plant is connected to the Blanket mine grid in November. Also, it shows a decrease due to transformers that we've installed at the Blanket Mine improving our power factor and also reducing our kilowatt hour usage. We move on to the next slide. Our G&A, our admin costs were higher due to advisory services fees to obtain the Bilboes and top assets as explained earlier. And you can also see the salary expenses that has increased to help us to unlock the value at Motapa and Bilboes mine. We move on to the next slide, please. Taxation, most of our tax is paid in Zimbabwe to the Zimbabwean government. It's got a pretty large non-cash component of approximately $7 million, and it's very difficult to reconcile this back to our U.S. dollar based profits as the taxation calc is performed in some dollars. Moving on to cash flows. I'm pleased to see the net cash from operating activities increasing by 12 million due to the increased transfers. We’ve balanced the reinvestment of those cash flows worth returning money to our shareholders pointing that we can realize cash returns from Zimbabwean assets and reinvest that in initiatives such as the solar plant and the new mining assets that we obtained. Moving over to the statement of financial position. You can see here that our non-cash – our non-current assets increased, and that's due to the investments in Central Shaft, Bilboes, Motapa and the solar plant. Our cash has come down due to this, but what is important to note is that our balance sheet remains conservatively geared, and that enables us to obtain potential funding to unlock the future growth phase. In summary, cash generation was up in 2022. A good balance was achieved in reinvesting in cash generation and new assets while distributing cash to our shareholders. And it's also very exciting to see that our balance sheet is in a good position to enable us to unlock our future opportunities.
Mark Learmonth: Thank you, Chester. Just a few words on the fundraise that we did last week in conjunction with the announcement of the 2022 results. So we raised about $10 million in London and we're currently – and that was through an accelerated bookbuild. That was primarily to allow us to fast track, we'll get going on some of these new properties that we've acquired. So in particular, the feasibility study at Bilboes kick start the exploration project at Motapa, where we're hopeful not just the long-term objective of finding significant sulfides, but maybe also the potential to find some near-term oxide material that we could turn into cash quite quickly. We'd like to, we need to establish a, what we call a shared services center in Bulawayo, which will allow us to begin to realize the synergies of having Blanket in the South towards the South of Bulawayo and Motapa and Bilboes to the North of Bulawayo by having a shared facility providing things like financial accounting, HR, technical services and a procurement and goods receiving facility, so that we can actually try and realize some synergies there. And then finally, just initiate some exploration work at Maligreen. It won't be lost on –our net cash position at the end of December was about $1.5 million. And it's fair to say that we – whilst Blanket is highly cash generative, we have a factor have been using Blanket as a piggy bank to fund strategic activities that don't relate to Blankets. So in particular, the initial purchase price for Motapa, the fees that we've incurred on, which were quite substantial because the complexity of the transactions on Motapa and Bilboes. And then historically looking backwards further, the acquisitions that we made of Maligreen and also the – when we looked at things like Connemara North and Glen Hume. So we did a modest raise that we were looking for about $10 million in the UK. Why we chose the U.K. as we wanted to do things relatively quick to do something in the States would've taken quite a bit longer because the SEC registration requirements. And also it's fair to say that we wanted to give the UK a chance to see if it works or not for us. We've spent a lot of time and effort over the past years marketing in the UK and we wanted to see whether there actually was that just test the strength and depth of demands from institution investors in the UK. And I'm pleased to see that we got three new institutional investors on the register who are mining specialists and will hopefully, - they recognize the vision going forwards and hopefully will provide further support for this as we go forwards. It was done at a difficult time when our share price shot up early in the week of marketing and then stabilized. So the issue price was about a 3% discount to the 20-day [indiscernible] and that's where we are on the fundraise. The Zimbabwe raised approximately $3 million is still open and that is to allow time for Zimbabwe institutions to get their liquidity in place so that they can participate. The nature of the investment climate in Zimbabwe is that whereas in institutions have appetite to invest in us, but don't always have the money available at the right time. And so they need a bit more time to be able to sort of shuffle things around and subscribe. So that's the fundraising. Can we just turn to the dividend. This is old news really. We paid a dividend for about 10 years or so. Initially it was denominated in Canadian dollars when we were a Canadian company until 2016, but it was about US$0.07 per share per quarter. And then in early 2020, we started – as we were getting closer to the end of the Central Shaft project, and we were more comfortable with our cash flows, we felt able to loosen the purse strings a bit. And so we started increasing the dividend buy about $0.01 per quarter. We paused in March, April, 2020, to just allow us time to see what the effect of COVID was on the business. But once we'd done that, we then felt comfortable to continue the rate of increase, but by the time we got to about January last year, it became apparent to us that we knew we were going to be getting, move into a situation where we were going to get our hands on new assets and that would put us into position into a position of becoming more of a growth company with a requirement for capital. And so in that situation, we felt it is just disingenuous to continue to increase the dividend further. So the dividend policy is to put it simplistically, is our dividend policy is to pay a dividend. Our intention is to maintain the dividend at current levels, about 414 per share, per quarter, keep it at that level. And then as and when, we bring new projects on stream and they become cash generative then to resume dividend increases. So for the foreseeable future, I wouldn't expect to see any increase in the dividend. Having said that though, barring any unforeseen eventuality, I wouldn't expect the dividend to be reduced.  Should we move forward and give – move forward for this – this is extracted from RNS we put out in January. So gold production for Bilboes is from the oxides is approximately 15,000 ounces for the year. We say between 12.5 and 17,000, at Blanket, between 75,000 and 80,000 ounces. So that would be for the year and between 87,000, to 97,000 ounces. Online costs, now we split – online costs, we need to be a little bit careful about how we explain this because the online costs at Blanket, having looks to be in the order of about $770 to $850 an ounce. And that's quite a wide range because it is fair to say that we are experiencing some input inflation and it's difficult for us to predict where that will end up. But Blanket and Bilboes the online cost of Bilboes will be considerably higher because that is a low-grade oxide project, cash generative, but much higher cost in terms of the cost per ounce. And so blending those together, the online costs of Bilboes are about 1200 to 1320 plus the online cost of Blanket are 770 to 850 gives a blended group online cost per ounces of about $900 to $1000 an ounce. But that is clearly, largely skewed by the effect of the Bilboes oxide. It's also fair to say that the cost, the online cost per ounce that Blanket of 770 to 850 doesn't reflect the benefit of $35 an ounce are referred to earlier, doesn't reflect the benefit of the solar plant because the solar plant is owned by Caledonia, not by Blanket. And we own 64% of Blanket. So the idea is that we Caledonia sell power, sell power from a solar project to Blanket at a price which reflects Blanket's long-term average cost of electricity, which means that the minority investors in Blanket and either advantage nor disadvantaged by the solar project. And the benefit of the $35 an ounce is reflected at group level in the all-in-sustaining cost, which is between 1150 and 1250. If you were to reverse out from the all-in-sustaining cost, the effect of the online cost at Blanket. The all-in-sustaining cost, excluding Blanket would be in the order of about a $1000 an ounce, which is about just 1% or 2% higher than the cost that we incurred in 2022. So I just think it's important to put the projections for our costs in context with the effect of the short-term effect of the Bilboes oxide project. CapEx for this year is going to be about $31 million on the group level. $28 million of that is a Blanket. Of that $28 million, about $10 million is going to be spent on a new tailings facility. The old tailings facility is now pretty close to its maximum capacity, and we will need a new facility, which will set the business up for the next sort of tens of years. But we need to get that up and running before the end of this year. Then there's going to be another $10 million or so spent on deep level capital development at Blanket mines, which is the effect of the horizontal development from Central Shaft, at very low levels to allow us to continue production and also gives us platforms to resume our deep level exploration. So I think that is a relatively quick counter through the formal presentation. We can open that to questions.
Q - :
A - Maurice Mason: Shall we deal with some of the written questions first, Mark? There's a few. And then, if anybody else has questions, they can just raise their hand and we can deal with those as they go. The first two questions from [indiscernible] regarding earnings. Well, partially, I think Chester's already answered that in terms of the difference between adjusted earnings and cash earnings in terms of, did we own [$2.20 or $1.36]? I think Chester's really dealt with that in terms of adjusting out the non-cash items. The second part of the question is how do you justify the sale of stock for 6x earnings and a relatively expensive cost of equity? Mark, I don’t know if you want to take that one?
Mark Learmonth: Yes. As I've said, it was a very modest raise. It was done to test the strength and depth of the London market. It was to make good the treasury that we'd rated late last year to fund strategic acquisitions. It's going to be fair. We can't determine the rate at which transactions come along. And ideally, we would've certainly done the Motapa deal a bit later that the opportunity presented itself. And we – the internal rate of return on the main Bilboes project is substantially higher than – it washes its face. So it is not something we would choose to do every day of the week, but we're comfortable with having done it.
Maurice Mason: Thanks, Mark. Some questions on costs. A question about what percentage are costs expected to increase in 2023? There is a slide 20, which is on our website, which details cost guidance for the online cost and the all-in-sustaining for the group and per asset. So shareholders can look there if they're looking for cost. Chester, I don’t know if you have any comments on cost increase and what we're expecting this year on budget. I mean, we have already given guidance, I don’t know if we can say much more than that.
Chester Goodburn: So the cost balance numbers will increase due to the oxides that would add cash to back office. And perhaps skew numbers a bit. But at the Blanket level, we're looking at a 4% to 10% increase, and we've got some savings that are not in there via the solar plant efficiencies.
Mark Learmonth: Yes. So we are seeing a reduction. Just to amplify what Chester's saying, the benefit of solar isn't reflected in the online cost. The benefit of solar is reflected in the all-in-sustaining cost for reasons I've just explained. But having said that, the solar is displacing what was previously a much elevated use of diesel. And so by displacing diesel, we are going to hopefully see a lower electricity charge of Blanket than we had done previously. Labor, we pay our labor in U.S. dollars. So I think we'd probably see modest inflation in our labor rates. The way the chamber works now is the Chamber of Mines and the sort of the collective bargaining system. I think there are quarterly wage renegotiation. So I don't expect too much damage there. Where we are in the same position, I think as all other gold producers is the inflationary effect on imports like steel, explosives and what have you. And then we've got to rely on our, quite efficient procurement business based in South Africa to be able to get the best price. So that's only – consumables only reflect a third of our costs. The other third labor, we've got hopefully subdued inflation. And then remaining third electricity, we may even see a cost reduction. But in terms of the all-in-sustaining cost, as I just explained, if you strip out the effect of the high cost operations at Motapa oxides, we're looking for the all-in-sustaining cost to increase from just below a $1000 to approximately $1000 an ounce. That's excluding, that's if you strip out the effect of the Bilboes oxide. So some cost increase, but I don't think you'd have to get alarmed about.
Maurice Mason: Thanks, Mark.
Mark Learmonth: Sorry, a question – the effect of the tax, I'm very pleased that Chester can talk about the tax rate. A tax rate, as the previous CFO, I think Chester made the point clearly enough. The bulk of the tax we pay is tax in Zimbabwe, okay. And the Zimbabwean tax computations are done on the basis of local currency denominated accounts, okay. We actually report our accounts in U.S. dollars. And so if you then try and reconcile the U.S. dollar tax charge back to something that makes sense to you, it won't work because the actual underlying calculation is done the basis of different of a – completely different currency, which means you've got very different realized exchange gains and exchange losses. I'm very happy to hand that over to Chester for further clarification if you can, Chester?
Chester Goodburn: Yes. I'll leave the fact that it's calculated in [Zim dollars], I think you explained that well, Mark. Also something would be non-cash items that we don't get a deduction for. Like in payment expenses of approximately $8 million, you don't see the benefit of that in the profit before tax. Unrealized foreign exchange losses, that's also deducted before profit before tax. And you'll note that that deferred tax is a very big component of our tax expense, that’s a non-cash item, approximately $7 million. 
Mark Learmonth: Yes. We also – there's other two areas of inefficiencies in our tax structure. The first is withholding tax, and that's withholding tax as we move money around the group. So in particular we incur withholding tax on the management fees paid from Zimbabwe to South Africa. Then further we incur withholding tax on the distribution of dividends from Zimbabwe up to the UK. And then the second area, now we are looking to – and so we also end up paying tax in South Africa on intercompany profits made in South Africa and the tax in South Africa on the intercompany profits is primarily from our procurement business. So to try and minimize that we are setting up a procurement business focused on Bilboes. So we'll service just Bilboes based in Dubai so that we will, it is a lower tax regime that in South Africa. We can't move the existing procurement business from South Africa to Dubai because that will be a deemed disposal which will give rise to South African CGT. And then the other area of tax sort of inefficiency is the fact that we will, the top company is based in Jersey where the tax rate is zero. And so it means that expense expenses incurred in Jersey don't have any tax relief. So I think all of those things together explain why our headline tax rate is quite high. Having said that, the underlying tax regime in Zimbabwe is a) very stable and b) is quite sympathetic in particular because you get a 100% capital allowances in Zimbabwe for capital expenditure in the year in which is incurred. Okay. So that's the tax rate. So question here about EPS, we don't give EPS guidance we used to, and it just became an absolute nightmare because there's so many variable factors that we cannot control. So things like foreign exchange gains, foreign exchange losses. A few years ago you had the export credit incentive scheme, which saw us being paid a premium. It just became – we ended up chasing our tail in terms of trying to reconcile and explain stuff over which we had no control. So we give guidance as to production costs, CapEx and you can make your own view on the gold price. And then everything after that, and frankly, you'd have to take your own view. We found ourselves just getting into ever decreasing circles on that, I'm afraid. Question on the interest rate on the bond. Look, Andrew Cooks asked a question on the interest rate expected on the bond. Chester can provide details of that, but I would caution you that we're talking about the financial. We're not talking about Wall Street. We're talking more about sort of Robert Mugabe Way avenue. And the sophistication of the Zimbabwe capital markets, it's not as advanced as it would be elsewhere. And so there is appetite for green bonds outside Zimbabwe, but this is a purely domestic issue. And I don't think it's particularly tinged green. And the reason we're not offering those bonds internationally is that then we would be expected to provide guarantees as to future ability to externalize capital. And we're not in the business of backstopping future government policy, of which we've got no control. But Chester, do you want to talk more about the terms of the bond rise?
Chester Goodburn: Yes. It’s 9% per annum. We pay interest twice a year, and the tenure of the bond is three years. Our availability of options were limited and green bonds as Mark said, we're not available in country.
Mark Learmonth: Okay. The question regarding mining conferences, I mean, which mining conferences are we planning to attend? And you will notice from the analysis of G&A that the investor relations cost has increased quite substantially. I am trying to find the right numbers, but it's in it somewhere. And that reflects a return to face-to-face conferencing instead of video conferencing, which is – we'll just make the general point that we have to do these things, but they are very, very expensive and we are trying to be much more selective in terms of which conferences we go to and which ones we pass on, because some frankly are very good and some frankly are less good. Camilla, can you give guidance as to which ones we're currently planning to do? I just can't remember offhand.
Camilla Horsfall: In London, Europe, we are probably going to do the London one-to-one in November. I don't think we're going to do the Precious Metals Summit in Europe. So at the moment is just the London one-to-one, which is…
Mark Learmonth: And then also, and that's just in Europe and UK, isn't it? We're also going to the Denver Gold Show, which we found very good.
Camilla Horsfall: Denver and Beaver Creek as well. And then the one in June.
Mark Learmonth: Yes. I think it's fair to say that we don't – some of these UK European based events are a little bit anemic compared to the U.S. events. And whilst it's not particularly expensive for us to get to Europe, the registration fees for these things are quite expensive and you just got to be sort of circumspect about where you spend your money. The CapEx estimate for 2023, we've already set out is just over $30 million of which, I think of the memory about $28 million is a Blanket. The bulk of that comprises the first phase of the tailings facility and continued capital development. Then the difference between what the CapEx of Blanket group CapEx will be the capital expenditure on the Bilboes. The grade. Dana, would you want to talk about the grade? The grade apparently coming down – the grade expectation to come down.
Dana Roets: Mark, if you look at our measured and indicated resource, which is, what we've got high confidence in the grade is not coming down shortly. So I don’t know where this is coming from. And then, if you look at our inferred resource, with the latest update we did, the grade debt come down, but it's also because of the high gold price and the cutoff trade that came down. So a lot of low grade resources were added, which would skew the picture. So the grade is going to be stable going forward, coming down slightly because of higher gold price, but there's no serious grade issues that we see.
Mark Learmonth: Yes. And Chester, would you like to address this question of the significance of the impairment of the assets above 750 meters? And we will be closing access to that area and will that have any impact on resources and reserves? Would you like to address that?
Chester Goodburn: Sure. Yes. Commercially, there's no significance. So it's a non-cash item. It was areas of capital development above 750 meters. Not in our life or mine plan. We were thinking that, we might be able to explore, but more above 750 meters, that would be a bonus. But being able to justify that, we wrote those areas off, but it has got no effect on value. Just never in the life of mine plan, never in our planned cash flows.
Mark Learmonth: But it is fair to say that we do still intend to go exploring above 750 meters. We've just not got round to it because of logistical constraints and that we've focused on production also, we've had some capacity constraints in terms of the personnel, our exploration personnel. If we do go exploring there, and if we find more material, you'll find that those impaired assets are being impaired, fair to say. We've got a question, I don’t know if you can see the question, Victor, but quite a detailed question about the oxide heat leach process. Victor, are you able to provide more context on that Victor?
Victor Gapare: Thank you, Mark. Dana, you can come in if you want. Basically at Bilboes, we've got two crushing plants, one at Isabella and one at McCays. At the end of the day, what we are doing is really mining remnant ore. What we have put in the plan is probably to achieve an all crushing rent of around 40,000 tons per plant basically mining from those two locations. We are expecting production of maybe around 40, 45 kgs per month, basically. 
Mark Learmonth: Yes. And the variation in the production is largely because of variation, the anticipated variations in the grade that we're going to be putting on there. But I think it's fair to say that there's – one of the questions is what's the – how much material is already on the heap leach that can be leached, but my understanding is that heap leach is pretty much exhausted. It's been leached so many times. We really mean…
Victor Gapare: Actually. Yes. So, Mark, when you look at it, as we mine, we replaced the new ore on top of the old ore, and you continuously leach that ore, so basically that ore has been leached there a lot of times, but you still have remnant gold there, which is probably locked up in maybe some boulders, which when Anglo started the heap leach operations, they didn't crush the ore. But when we have tried to crush that ore the problem is always that you get, the sense, the fine material, which then results in problems in terms of leaching cycles.
Mark Learmonth: Yes. But I've got to say this oxide thing, well, it's a little bit more than [indiscernible], but I don't want people to get obsessed about it because the real focus of Bilboes asset, as of Motapa is the larger sulfide project. So the oxide heap leach project at Bilboes will produce, Victor said about 45 kilos a month. So just multiple, about 30 gives you an approximate conversion.
Victor Gapare: Yes. Mark, if I can come in there. We are building up to about 2,000 ounces by the end of the year, and as you said, it mustn't be seen as a red area. It's an interim arrangement because we've got some oxides that we've got to go through anyway to do the sulphides. It's a sort of an early start of the sulphide project, but it's also just helping us to cover the cost and cover the cost of the feasibility study until we really start a project.
Mark Learmonth: So it should make about a $1 million a month perhaps for to say, 2.5 years based on what the resource, the oxides that we know exist. But please, I don't want people to start sort of thinking that we spent effectively $65 million on a project that is producing at best sort of 1,500 ounces a month, 2,000 ounces a month. That's not the case. That is actually unexpected cash flow that we hadn't factored in into our evaluations. A question about any plans to improve the liquidity of the shares on the VFEX. Our shares may have traded once on the Victoria Falls Stock Exchange. I don’t know what we can do about it. We got down to our brokers to make it work. You can't create liquidity without the existing owners selling. So we need to get the existing owners to sell, but they don't want to sell. And they seem to be wanting to accumulate positions. So I'm not sure what we can do about that, but I've got to say it's not something that particularly keeps me awake at night. We are positioned in Zimbabwe as such that we have institution investors who want to buy our shares as and when they have liquidity that's available. Okay. A question here is the government policy on ForEx retentions. So previously, the government policy is that – previously the government policy was that if you had incremental production as we do, we've got incremental production, we've increased production from what, 57,000 ounces in 2020 to about 81,000 ounces last year. And under the previous – under the rules that applied previously, that incremental production, if you were listed on the Victoria Falls Stock Exchange, you've got a 100% of the revenues arising on the incremental production in U.S. dollars and the balance in local currency. And so on that basis, we went off and listed on the Victoria Falls Exchange. The rules have now changed. So under the previous regime, our blended average split of currency, local currency to U.S. dollars was about 72% in U.S. dollars and the balance in local currency under the regime that was announced a month or so ago in respect of existing operations, that's now moved to 75% in U.S. dollars and 25% in local currency. So it has improved very slightly. And it's also fair to say that we do not accumulate a pile of Zimbabwe dollars for which we've got no purpose, if anything at any point in time, we are typically overdrawn in Zimbabwe dollars, okay. So that's the first question I'd like to address. We believe that we have the change in the regulations, which then effectively unwound that relaxation such that if you moved from the Zimbabwe Stock Exchange, which is a local currency denominated exchange to the Vic Falls Exchange, which is a U.S. dollar exchange. People were doing that, even though they're domestic companies with a view to trying to get increased revenues in U.S. dollars, our understanding still is that for the Bilboes project, we will get a 100% of the revenues in U.S. dollars. So whilst the change in policy may have taken the shine a little bit off the Victoria Falls Exchange, we don't believe it affects our position going forward. So I can't comment on other people's aspirations and why other people might want to listen to the Victoria Falls Exchange. That's their business, not our business. What I'm saying is that so far as it affects us, the policy change as far as we are aware, does not affect us. A question about to what extent the ore mine has been mined out? I understand this is a large ore body conducive trackless mining. What is the predominant mining method going forward for the next couple of years? That's the question. Dana, could you answer that?
Dana Roets: Ore mine is basically mined out, this low grade stuff big and – so our ore mine want to extend and it doesn't really feature in future production. Yes, it was large ore body up to 50 meters wide. And we use long-hole stoping in ore mine body. Going forward as far as mining methods are concerned, it will stay a hybrid method. We sort of got a rule of thumb when stoping width are below 4.5 meters, we are doing underhand stoping. And if it is wider than that, we are looking at kind of long-hole stoping doesn't always mean it's suitable for long-hole stoping. But generally between 4.5 to 6.5 meters, we start changing over two long-hole stoping and it varies. AR is predominantly long-hole stoping, Blanket ore body, it's a combination right in the middle where the juicy stuff is that's long-hole stoping and on the edges, it's underhand stoping. And then you see similar sort of vibrant methods going to Eroica and Lima, Lima is predominantly underhand stoping. And then at Eroica, we also have some wider areas where for combination of long-hole stoping and underhand stoping.
Mark Learmonth: The question is to why the forecast guidance range for Blanket lower than the 2020 achieved. The guidance range that we put out, I think for Blanket in 2022 was I think 72 to 80. This year it's 75 to 80. Blanket is a steady state operation. We see little prospects to increase production above 80,000 ounces. So it's a realistic assessment as the Blanket should be able to do between 75 and 80, whether it's the bottom end of that or the top end will just depend on the ordinary wagerers of mining. I'm sure the person who asks the question understands. Chester, there's a question about the increase in the overdraft or the overdraft. Do you want to talk about the overdraft in Zimbabwe?
Chester Goodburn: Yes. We want some debt funding in our business. We were conserved in the year or ungeared to a large extent. And we are looking for some data funding overdrafts were available in country. It's not a big market and then to obtain term loans and long-term debt. So utilized overdrafts to fund some short-term funding gaps at Blanket, and it should be repaid by the latter part of this year.
Mark Learmonth: But I think the other thing is dollar denominated overdrafts in Zimbabwe have only relatively recently become available. Is that correct, Chester?
Chester Goodburn: That's right. So dollar denominated debt, that's few far between. I think, we were in a fortunate position to get it in country and we utilize that to plug it for the short-term gap.
Mark Learmonth: Yes. And then the other thing to understand is that in the course of any month, cash typically – it can be quite lumpy, you got – the cash should hopefully build up over the course of the month as you get deliveries and you get paid for those deliveries. And then it's a big outflow at the end of the month as you pay your creditors and you pay your workers. But it is quite lumpy and it just helps to smooth our treasury and our cash management if we can extract cash by way of dividend payments and another payments, it just helps to smooth things out. But one of our other strategic objectives is to what I just used the phrase make ourselves relevant in Zimbabwe and part of that is they're having local shareholders through the Vic Falls Exchange listing and having meaningful relationships with banks, we borrow money off them. So that everyone that's got some sort of skin in the game earn some participation in the future growth. But the availability of debt funding in Zoom is pretty limited and it's very short-term.
Mark Learmonth: I don't see any further questions. We're just on the hour. That's not me trying to cut this off at the hour. But genuinely I've got no further questions – can see no further questions. Just give it a minute. Okay. So no further questions, thank you all for your participation. It's the end of March, so you'll be looking for Q1 results coming out in mid-May. But I think to characterize the way we see 2023 after a fairly exciting time in 2022, we would hope to see 2023 as a period of stabilization and consolidation, which may sound quite boring, but actually is not a bad thing to do in this environment. So with that, I thank you all very much for your attendance.